Operator: Welcome to the MicroVision Third Quarter 2024 Financial and Operating Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Drew Markham. Please go ahead.
Drew Markham : Thank you, Mike. Good afternoon. I'm here today with our CEO, Sumit Sharma and our CFO Anubhav Verma. Following their prepared remarks, we will open the call to questions. Please note that some of the information you will hear in today's discussion will include forward looking statements, including, but not limited to statements regarding our customer and partner engagement, cash liquidity and the impacts of our convertible note financing, market landscape, opportunity and program volume and timing, product development and performance comparison to our competitors, product sales and future demand, business and strategic opportunities, projections of future operations and financial results, availability of funds, as well as statements containing words like intend, believe, expect, plan and other similar expressions. These statements are not guaranteed of the future performance, actual results, could differ materially from the future results, implied or expressed in the forward looking statements. We encourage you to review our SEC filings, including our most recently filed, annual report on Form 10k and quarterly reports on Form 10Q. These filings describe risk factors that could cause our actual results to differ materially from those implied or expressed in our forward looking statements. All forward looking statements are made as of the date of this call, and except as required by law, we undertake no obligation to update this information. In addition, we will present certain financial measures on this call that will be considered non-GAAP under the SEC Regulation G for reconciliations of each non-GAAP financial measure to the most directly comparable GAAP financial measure, as well as for all the financial data presented on this call, please refer to the information included in our press release and in our Form-8K dated and submitted to the SEC today, both of which can be found on our corporate website@ir.microvision.com under the SEC filings tab. This conference call will be available for audio replay on the investor relations section of our website. Now I would like to turn the call over to our CEO, Sumit Sharma. Sumit?
Sumit Sharma : Thank you, Drew and welcome everyone to this review of our third quarter 2024 results. I would like to start by providing an update on our engagements for industrial opportunities, our value proposition to our customers and our view on long term value proposition for our investors. Second, I will update you on the strategic sales with 7 RFQs still in flight, and why I believe this is an important component of our value proposition and the disruption I believe we will provide long term Let's dive in. Sales into the industrial segment represent the strongest opportunity for us to establish a strong annual recurring revenue stream. There are multiple potential customers in multiple tranches classified by volume that will help us establish strong ARR. Core products we will offer in this space have fully integrated LIDAR hardware and perception software on board running at low power. This will remain a big differentiator for this space. The same LIDAR software with differentiated perception software for each segment will allow customers to reduce system costs and time to ramp up. We provide them with software and their individual custom interfaces. We should allow them to take our smart, lighter solution and interface directly with their domain controllers, eliminating the need for intermediate ECU which adds cost and complexity integration, and tends to overload them with software development. For the industrial segment, we expect to start with MOVIA L as our primary hardware product, and shortly followed by our MOVIA L safety rated sensor. Over the following years, we expect to add additional Movia derivative sensors for the product portfolio. So we will expand on the product roadmap in the future. All along, extending this segment specific perception and localization software that is part of the solution. This go to market strategy represents our best opportunity to establish annual recurring revenues and favorable margins based on our software differentiations and provide a strong baseline to larger revenue opportunities from automotive lidar are expected to ramp in the later part of this decade. Let's talk about our strategic sales opportunities. I believe the best long term high volume opportunity for our technology remains with automotive OEMs for passenger vehicles, for L2 plus and L3 ADAS safety, we remain engaged in seven RFQs with automotive OEM for passenger vehicles. I expect our integrated hardware and software solution will also be key differentiator product for this space. Our MAVIN and future MOVIA S product are primarily focusing on OEM engagement for passenger vehicles. The unique selling point to be competitive in this space remains cost to OEM, power, size and the level of sophistication in onboard perception software. I remain strongly confident that we will be the dominant technology partner to OEM in this space in the future. To win this space, we need to think about potentially winning multiple projects with multiple OEMs in the future. As OEMs realign their individual product strategies, we remain patiently engaged with them. Long term, their system cost needs to be competitive. Companies with ASPs in the 1000 plus range will not be competitive. All our technologies have been built for cost scaling with custom silicon and the lowest cost sequential flash lidar and mem scanning technology, we need to patiently work with OEMs for adoption and continue to do so. I'm going to keep my prepared remarks brief today, as we've received a large list of questions from our shareholders, I would like to address that as the main narrative again. I would like to now turn the call over to Anubhav to talk about our financials. Anubhav
Anubhav Verma : Thanks, Sumit. I'm pleased with what we have accomplished as a company since the last quarterly update. We have successfully positioned the company for long term growth by A, pursuing significant revenue streams and partnerships from non-automotive industrial channels in the short to medium term. This is critical, as all serial production revenue in automotive will be material only with economies of scale, which won't happen until later this decade B, bolstering the balance sheet with the convertible note facility from a strong financial partner. We have further streamlined our cash burn and extended our runway into 2026. With significantly reduced cash burn, strong balance sheet and focus on industrial we believe we have improved our timelines to achieve cash flow break even. The capital raised to a convertible note comes at a very strategic time for us, given the visibility of near term revenue in the industrial space. The use of proceeds is expected to be general corporate purposes, and procuring some long lead items to deliver on the 2025 revenue opportunities. Securing an institutional financial partner to invest at this time signals a vote of confidence in the company's future. We ran a competitive process to select institutions for this round of capital raise, and received term sheets from multiple investors that reinforced the market perception in MicroVision's technology. The size and terms of the convertible note are also reflective of the MicroVision's market position and strong credit profile to emerge as one of the last standing LIDAR companies with the lowest cash burn. This is a two year 75 million fixed convertible note facility. The first tranche of $45 million was funded at a closing price of $1.33 as of October 14, 2024 with a $30 million tranche available for future drawdowns subject to certain limitations. This is a 0% interest coupon facility, and matures on October 1, 2026 with the lender having the option to require the company to repay the notes starting January 1, 2025 up to 1.8 million monthly prior to April 1, 2025 and up to 3.5 million monthly on and after April 1, 2025 plus a 10% premium. The conversion price, or the price at which the notes could be converted into common stock is fixed at $1.596, or approximately $1.60. The aggregate value of the notes that could be converted into the shares at this price ranges from $33 million to $40 million. The range is dependent on how does the stock price on the date S3 [ph]free registration statement goes effective compared against the initial close price of $1.33. The remainder of the $45 million principal, which is $5 million to $12 million, will be converted into shares at 10% discount to the share price on the date when the S3 [ph] free registration statement goes effective. We believe high trails economic incentives are aligned with the company as they get to convert their principal into stock. If the stock price is momentum due to the near term commercial wins and other industry factors, thereby riding the upside with all other shareholders. This makes the overall cost of capital for this convertible facility quite attractive. We believe that the growth coming from this convertible is higher than the cost of capital, and will put us on a trajectory which will lead to cheaper ways to finance the business, until free cash flow generation. Now let's review our Q2 financial performance for the third quarter. We reported revenue of $0.2 million. This revenue was lower than our expectations as an existing customer pushed out its delivery of sensors from Q3 to Q4. This expected revenue from the sale of our sensors was delayed because the leading agriculture equipment company pushed out their delivery schedule. From an expensive standpoint, while our revenues came in lower than expectations we are pleased with our third quarter OpEx performance. For the third quarter, we had approximately $15 million of R&D and SG&A expenses this includes $2.4 million of non-cash charges related to stock based compensation expense, and $1.4 million in non-cash charges related to depreciation and amortization. For the third quarter $14.1 million cash was used in operating activities, which is lined with our previously communicated expectations. The Q3 cash used in operating activities came down by 25% quarter over quarter in-line with our expectations, our expenses have trended down sequentially since Q1 primarily due to the reductions in-force we implemented to focus the company on MAVIN and MOVIA away from Mosaik and Sensor Fusion. Keeping in mind the current view from the automotive OEMs regarding their start of production timeline, we have decided to further scale down some of our ASIC programs and dependent on third party contractors related to automotive work. We believe that our new fixed expenses of R&D and SG&A annual run rate will now be in the $48 million to $50 million for the next year 2025. We think streamlining the cost structure in response to the automotive start of production dates related to projects is the right move and helps the company to scale faster with industrial revenue in the near term. We will resume some of these ASIC programs at the right time, when we see the momentum for automotive revenue building up in 2025. As expected Q2 CapEx was zero in line with our expectations. Now let's talk about our talk about our balance sheet. We have significantly bolstered our balance sheet as a result of the recently announced convertible note financing, both the financing the company now has a total liquidity of $234 million with the following three components, number one, total cash and cash equivalents of $81 million after giving effect to the net cash proceeds of $38 million from the first tranche of the convertible note. Number 2, $122.6 million availability as of 930 under its current at the market ATM facility led by Deutsche Bank Matsu and Craig Hallam and number three, $30 million of the remaining capital commitment under the convertible note facility. With the new ongoing OpEx rate run rate of $48 million to $50 million, we believe we have further extended our runway into 2026 with our current liquidity profile. MicroVision continues to stand out in the marketplace, having one of the lowest cash burn rates. This further positions the company as the leading contender to be on the path to achieve cash flow break even faster than all its peers. We did not sell under the current $150 million ATM facility in the third quarter. We believe we're on track for $8 million to $10 million revenue this year. The Q4 revenue is expected to come from number one, sale of LIDAR sensors to automotive OEM and non-automotive customers, and number 2, NRE, or one time development fee for customization projects for customers in both automotive and industrial. Since some of the components of the expected revenue streams are related to NRE, revenue recognition is subject to customer approvals. From a cash burn standpoint, our new annual OpEx, including R&D and SG&A is expected to be $48 million and $50 million in next year. To summarize, we're really excited about 2025 and beyond. Operator, I would now like to open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Casey Ryan with West Park Capital.
Casey Ryan: Good afternoon, everybody. Thanks for the update. I had a few questions. I think everyone's happy you're focusing on the industrial market. Two questions, do ASPs have to change to get the market moving for you from current levels, let's say, and the second part of the question is, I think in previous comments, you talked about 10,000 to 30,000 units being available, maybe in 2025 but can you talk about what you think the like reasonable unit TAM might be not guidance or anything, which is sort of a sizing of what the opportunity could be in 2025?
Sumit Sharma: So look, from a ASP standpoint, we believe that ASPs would be in the $1000 to $2,000 range, and the range is primarily driven by the software offering that these industrial customers are looking for which, by the way, is lower than the ASP obviously we do not get the volume because you know, the customers that we are targeting are looking for volumes in the ranges that you described. But typically, you know that would be ASP for this particular application. The second part of your question is the range, the range for the volumes, because we have a few customers which are looking to roll these sensors into their fleets, which could again be their new robots or new vehicles, and could also be a case of retrofit for the existing inventory. So we do believe that this number would be reasonably in the range that you described, between 10,000 to 30,000 units for next year.
Casey Ryan: Okay, good, great. That's very helpful. I think on the 2Q call, I think maybe you guys had referenced sort of thinking that the non-automotive opportunity could be 8 million to 10 million, maybe in calendar '24 but it sounds like maybe that shifted a little bit and blend into '25 but does that feel like the right pacing of revenues from non-automotive opportunity, maybe something in that $4 million a quarter range. And I also just point out that, like, inventories are at $4.8 million. So does inventory tell us something about the opportunity within one or two quarters in terms of what this customer could consume I guess.
Sumit Sharma: Yes I think that's a great question, I think Casey you picked on the right metric on the balance sheet and, and I think that's sort of also why this capital raise comes in at that at this time, right? Because we are beginning to build inventory to service or to prepare for the revenue commitments for next year. I'm a bit hesitant to give you a quarterly run rate, because the ramp is actually going to be dependent on the customer, because typically what ends up happening is the customer will have to deploy this at multiple sites, etc. So that would be, obviously something which is dependent on the customer. From a revenue recognition standpoint, we obviously only recognized revenue when the sensors are delivered to the customers. But I do believe that the numbers that I described for the total number sounds about the right way to look at 2025 with maybe the ramp really happening mid-2025, next year to maybe Q3 when the revenue builds up. But again, like I said the ramp is typically driven by the customers in this case.
Casey Ryan: Right. Okay, I think that makes a lot of sense. How many, so, sort of the one customer that we're talking about, and sort of talking you mentioned that it's in the ag space. Let me ask you, just for all of us investors thinking about how big the opportunities can be outside of automotive. How many players are there who look like your customer? And obviously I'm asking like, is this sort of like a duopoly type customer, or is it a market where you're serving potentially 5 to 10 type customers who look similar in size, and there's sort of a multi-customer opportunity within the segment?
Anubhav Verma: Let me take that. So I think when you think when you think about this opportunity, let's think about just MicroVision in general, right? Think about in tranches. The top tranche is customers that need more than 100,000 less than a 1 million annually. This is primarily our strategic sales to automotive OEMs, right? So there's a bunch of customers in there. I would say a bunch of potential customers in there, and we continue working on them. The next tranche is, let's say, annually more than 20,000 less than 100,000. In there, you probably have customers that you can the number of customers you can count on two hands, right? And there's a very varying amount of segments that they work in, but you know that can aggregate to something big but again, it does not get as big as the first tranche. Tranche number three is customers that have more than 1000 less than 10,000 sensors per year. The list goes bigger. So instead of, you know, two hands, maybe, like you know, three or four hands are needed now. But again, you know, they aggregate to something bigger, then below that now you start getting into, like more than 100 less than 1000 and in this category, of course, there's, like a massive group of people, right? But if you add them all up, they will probably come up to about 50% or 75% of the tranche above them and the last tranche is, of course, like, more than one in less than 100 so this is like, you know, how we think about like, as you know, we engage with different customers, where we put them in different places, and they all have different needs. When you think about the MOVIA L safety rated sensor, for example, it comes with some standard software, so we don't customize it, but it's going to be standard software that's qualified and that allows them to get up and running very, very quickly. Because as you go to the lower tranches, you can imagine, you probably end up with more sales people than engineers, because to address so many customers to get to those big revenues that we would need, you would need quite a lot of team. So we've developed a product that allows us to say, there's a standard product and can buy it and here's the map pricing, and we work pretty hard to incorporate all the different interfaces and all the things they need down below The middle tranches is where the interesting part happens, where we have the opportunity to upsell software, and the software is something custom that they would need. So the hardware is exactly the same, but the software content, part of it, right, allows us to really extract value from the product. So instead of thinking it about like is it like 5 customers, 50 customers, there is, you know, I mean, our sales force, we have quite a lot of customers, but we look at them in tranches, because to get to like, any kind of like, you know, future break even target with industrial by itself we have to have a visibility of, how do you get to some annual run rate that's respectable first, and from there how you would have growth? Does that answer your question? Casey,
Casey Ryan: Yes, actually that's a very helpful framework. So just to be more efficient with everyone's time, I guess the last question, I'm just wondering about capacity. And like, I understand it might not be an issue today, but sometimes when people are talking about what their ability to support is it's helpful for investors to understand, you know, how many sensors could you produce? I understand you have multiple products, but what's the flexibility around production and if orders outpace what you expected or something, would there be any issues on the other side of the house in terms of fulfilling those orders I guess.
Sumit Sharma: There will be no concern about operations. I think our current capacity is, you know, I'll average it out about 45,000 units a year, and that's on a single shift, you know, we can certainly ramp it up. But you can think about if you were actually shipping that in the unit. So if you think about the production line that was developed for automotive qualified by [indiscernible] that we acquired through the transaction, which is a fully qualified [indiscernible], very high quality work, at those kind of volumes, right it can run much faster if we needed it to be but these kind of volumes were industrial, there would be a very significant player, if you look entire capacity. So everything we've talked about so far, we believe that we can cover with this capacity and as I mentioned, the MOVIA L product that runs on that production line, there's no other product that runs on that production line. The hardware remains the same. The differentiators the firmware and the software that gets put so you can do a low volume, high mix product without having to do a lot of configuration management, except the software that has to run in there. So it gives us the flexibility to address multiple customers, and get to a decent ramp rate.
Casey Ryan: Okay, great. Thanks. That's very helpful. And yeah, it sounds like you're making terrific progress. So we'll look forward to seeing how things develop the rest of the year and into the new year. So thank you for your time.
Sumit Sharma: Thank you.
Operator: I will now turn this call back over to Anubhav Verma to read questions submitted through the webcast. Thank you.
Anubhav Verma: Thanks. Mike. So the first question is management mentioned on the latest conference call 15 ongoing non-automotive RFQs, trying to get a sense of where we are making inroads or seeing a greater appetite for our solutions. Please further describe the composition of those, such as, you know, five for AMR or warehousing, or 10 for heavy equipment. Are they primarily in agricultural and heavy equipment, or is there more interest in warehouse and forklift applications?
Sumit Sharma: I think for all of us who we need to keep in mind the way I describe the different tranches of how we think about all the different customers and how we sort them out, I would say primarily a lot of the focus right now is AMR warehouse management and other industrial applications. But there is motion involved in the robots, therefore these are higher volume applications, nothing compared to automotive would be, but still pretty, pretty high volume. So we're focusing on that first.
Anubhav Verma: Thank you. Next question, what are the main use cases for MicroVisions, product with these new industrial business opportunities. What problems are they solving? And how are we solving these issues in a way current solutions are not performing. What is the low hanging fruit from business efficiency and performance upgrades to MT, BF ratings? How are we locking in these opportunities? Are these through demos, NRE agreements, samples?
Sumit Sharma: Yeah, I think if you think about what the problem is, that's a great question actually, we have technology, but we have to understand what problem are we solving is it a big enough problem? So if you think about, you know, forklifts and other kind of equipment have been around for a long period of time, humans work in close proximity to them. In all this space, it's hard for those OEMs to actually provide technology, you know, with safety, because most of the focus is always going to be on an automotive kind of application with a much higher volume. So the kind of systems they have been able to field they don't have the kind of capabilities and the kind of safety that is required nowadays. And as you can imagine, you know, everything is getting somewhat automated, so safety is one of those things that's expected, even in an environment where things are moving at a slow pace, but the payload is pretty high to get some level of safety. So as you think about the perception that was developed, the perception techniques that were developed for automotive can be adapted and applied to address these spaces with the same exact sensor. The real benefit is think about the no longer LIDAR sensor. The hardware looks like a LIDAR but the software inside it makes it a pretty incredible solution where the solution goes directly the LIDAR when it's mounted, that piece of hardware and software interacts directly with their domain controller that's actually controlling whatever device, whatever motion controls that they need, and things like stopping, recognizing an object in the path, something cantilevered, things that would be very hard for a 2D sensor to infer from a scene that a full 3D sensor is allowing them to create safety, kind of magically. So, can you imagine a forklift with a full payload moving at, full speed, and the user does not notice that there's something on the ground that can actually get jammed up and you could even cause an accident, or worse yet, that as you're going down an aisle, the way that things react that something is hanging in the aisle, so can lever it over, and if he misses it, he runs into it, and things start falling on top of him. This is real situations where the operator could get hurt, serious bodily injury With the three LIDAR, all those things and the software, effectively, you can stop the forklift independent of how much attention this person was paying. So recently, I actually saw a demo of this running. And conceptually, you always think about, yeah, this is how it's going to work but I saw it working live, and I was amazed that they were completely jamming down on the accelerator full blast and our sensor actually brought it to a low speed, and kind of nudged it next to it. So couldn't find a way to make this accident happen and this was as you're asking like how do we actually engage. We start off with making custom software, custom development samples that we give them, that we give them interfaces as well communication interfaces, work with them to create these demos so their executive team can see how well it would integrate into their product roadmap. And from there, of course, we just talk about how commercial rollouts will happen, what their timelines are, what our capability is, the strength of the balance sheet of the company, our production capabilities, our team, give them confidence that we can support this for many, many years to come. Because in almost every case that I've been to, they look for a partner that's going to be around for seven or eight years because whatever technology incorporates, they rely upon it. They cannot have switchovers every so often. So that's the focus area.
Anubhav Verma: Thanks, Sumit. And if I can just add NRE agreements, because obviously, as I mentioned, part of our Q4 guidance as well. This is the project in which we are actively performing the work for our customer and when we get the approval, that sort of, you know, also triggers a rapid recognition. So just in line with the way we are, we believe about the 2024 guidance. All right. Next question, as investors parse the business aspects of these potential new partnerships, what's the best way to understand the hardware and software margins on these prospective deals? Can we talk about the return on investment for both customers meaning, how is industrial autonomy, shifting, the business models and warehouse, logistics, farming, mining, etc. And how do they value this technology in their own businesses?
Sumit Sharma: Yes, if you think about -- I think Anubhav I'm going to have you, know, talk about that so people can model it correctly. But the opportunity we have is clearly quite a lot was invested to create the hardware. We've spent since we've taken over the acquisition. We spent quite a lot of money to transition this product ready for production, for the industrial space. And it's taken us over a year quite a lot has been invested. So of course, we would like to recoup our cost in there. So the hardware margins are going to be your typical hardware margins that customers expect, some of them, or almost all of them, listen to our earnings call and read it. So this is something that they already know. Our big differentiation comes in with a level of software that they want. We're building upon a body of work that was done, and we do something derivative for them. But in some cases, the derivative projects are small. In some cases the derivative projects are pretty massive. And then it comes down to do we -- we would rather have volume commitments from them and happy to amortize the R&D cost over the volume. So the software volume is, of course, the big part, right? Because what we're helping them do is take away costs from their system when they don't need an extra ECU and cable and their software team to create the application. We provide them the software that goes directly to domain controller, and it is to a high level of qualification, because the team is are very capable, coming from a discipline of automotive software, to have well qualified software to be provided to them. So I think it gives us an opportunity. I would say that what's exciting to me is we have software content in here, and it's a problem that they need solved, and we can get them up and running years in advance, so their team actually be able to deliver based on somebody else's sensor, without the software existing right now. So the overall solution margins, I think could be favorable. And Anubhav I'll leave it to you, how you'd like to market to model it.
Anubhav Verma: Yeah, no, I think the way to think about this is the value proposition for the customers is really two fold A, with our solutions, they can actually deploy their robot faster, so which helps them, in turn, collect revenues faster. If these companies are actually using the or in the warehouse distribution or logistics business, where they can deploy more robots efficiently. And obviously at their end, can typically grow their top line faster with more of these robots in coming in the supply. The second aspect is the cost. Because obviously, as Sumit mentioned, when there is a downtime, it actually costs money for these providers, not just in terms of either time or the opportunity cost, but also the loss of inventory, which, I think, which happens when you know pallets can crash over and which again, leads to downtime, etc. So the way our customers are looking at this solution or the business problem that we are solving is helping them deploy these robots faster, and secondly, reduce their cost of operating these robots as well, which is sort of what our customers are looking to extract from our solution, which in turn, helps them. Now in terms of margins for us, like Sumit described, you know, I would like to, sort of, you know, obviously have a more detailed guidance once, sort of we have visibility into 2025, and the ramp, which I think Casey also asked about. But like Sumit described the way to think about this is hardware would have a standard margin, but the software would have a higher margin, because given obviously, we are using a standard product perception software and then really customizing it for the particular application, and then amortizing it over the base price of the customer. Next question, how does MicroVision balance pursuing high volume long term automotive contracts with generating near term revenue through industrial LIDAR applications? I think let me take that question. I think this is a very interesting question, because I do believe that any company which solves this problem will be the last standing LIDAR company, given the state of the industry we are in, because obviously, as we have been discussing over the past few many calls, the OEMs really have only low volume projects, and really are requiring all LIDAR companies to put an investment on their own end, at their own dime, until the volumes really ramp up and take off, until the later part of the decade, given where the LIDAR adoption is in their economic cycle. Now obviously this makes or this makes the LIDAR companies really strategic to make sure that they can survive or invest prudently to be around, to be able to capture the volume because, like someone described, that's where the economies of scale will kick in, and that's where you sort of, you know, try and at that point, is going to have to come to industrial which not only helps reduce the cash burn, but also build confidence with the automotive OEMs, because they understand the company has diversified revenue streams and which is able to sustain itself in the absence of high volume projects, because what the OEMs want is their supplier to have longevity and the visibility to be around for a long period of time and be able to withstand these economic cycles that go on. So the way we believe that we have positioned the company well is executing on this near to short term industrial applications, while we continue pursuing the automotive and like I said, some of the industrial factors I described others, the competition is going to thin out. Because obviously, that's sort of how the economic cycles are playing out, but ultimately that's how we believe that we're going to be the last ending LIDAR company, given our strategy to execute on these opportunities and wait for the automotive revenues to ramp up in the later part of the decade. Next question, what is MicroVision's strategy for navigating the evolving landscape of Tier 1 suppliers in the automotive industry. How do you plan to leverage relationships with Tier 1 to secure high volume LIDAR contracts? Are any automotive RFQs still expected to be awarded this year or will they be in 2025?
Sumit Sharma: I'll take that so I'll start with the last section first, Are any of the RFQs planned to be awarded this at the end of this year? We're in November right now, and I would cautiously optimistic, but I would say that the OEMs are working on their inner strategy. They're adjusting what they need and how they want to incorporate it, but this also goes into your question about Tier 1, and I think I mentioned this at a couple weeks ago when we had our Q&A session. Just remind everybody so I was in a meeting and meeting with an OEM, and they clearly indicated that it'd be great that if a Tier 1 would provide solution and mail, you should partner with it and we said, okay, you know, we're open to that. And immediately the answer was, well, yeah, but we don't like those guys because they charge too much. And it's, you know, really, you guys are inventor of it, and we get better service from you directly. So this paradox exists with the OEMs, not the tier ones. We will collaborate with any Tier 1 as a directed by agreement that an OEM would like us to do. But as you can see, that the tier ones, if you just follow the news, they're retrenching in other technologies that is their core technology, so they are not looking to take on bigger projects. But the real issue is that if you were to think about just the LIDAR, right? Every LIDAR company gets up, every CEO gets up, and they talk about how important it is, how much they're going to win. But this is my take on it. You got to think about not just the LIDAR. You got to think about the solution that they're providing. So I think I've talked about this maybe a little over a year ago. So I'll remind investors, if you think about it's a vehicle, when you are a customer, you don't care what the technology inside is. What you care about is the Ncap rating. You have a five star Ncap rating in the product, and what's the piece price. To deliver that tier ones and OEMs look at LIDAR, radar camera modules, right ECUs, and put together a system that's affordable, they can deliver at a very certain cost. So just the LIDAR story is not complete. OEMs are looking at the entire system. So what takes so long is they're working through the valuation of what they can do this where the trade-off comes in, where people always ask the question, well, what do you think about imaging radar, and what's going to happen there? Look, I'll give you my take, and this is not just my take. This is coming from talking to quite a lot of people. Imaging radar is not a threat to us. It is a rather large piece of hardware that is very hard to integrate into a car. Antennas are complicated, and it's nowhere near the performance LIDAR gives them at lower cost. Okay? So from a vantage point of high LIDAR get adopted, you could actually think about the problems the OEMs are solving. What is a acceptable level of L2, L2 plus or L3 features they want to incorporate, and what volumes in each one of those they can incorporate? One thing is completely common. Anybody that's trying to sell a LIDAR with $1000 or $1000 plus to the passenger vehicle, that's just hokey. There is no Tier 1 that's interested in that there's no OEM interested in that. So what we focus ourselves is solve the problems for scale that. At some point, if they want us to scale the product, we can place an order for 5000 plus wafers. Everything's in silicon. Dice them up. Know how to assemble a fully automated line. Cost could be down, but we need to be able to put very, very large inventories at play. And that's how the economy scale comes in, and that's how the rollout is going to happen. That's how the investors should think about it, that when you think about this OEM space. These are all the forces at play, and we will work with Tier 1. We will work with anybody. But there's other things in play beyond just the LIDAR for a choice that an OEM has to make.
Anubhav Verma: Thanks Sumit. For model year 2028 do you anticipate the automotive OEMs will be selecting LIDAR partnerships in the near future. We understand that it's their timeline, but based on your knowledge of the product development negotiation cycle, give us your best estimate on that timeline at this moment.
Sumit Sharma: Yeah, I think typically a automotive OEM cycle for any kind of development is three years. So as 2024 is ending, 2025 is coming, this is about the right time they have to make selection. Then what happens is that we have to develop the product, you know, all the middleware so the LIDAR can plug into the entire car system, and the software works. You know, that work is done by somebody else. And we do our part of it, that goes in there but what they really want is that they get sensors from us that have the final quality point cloud and perception that they need and then they have a lengthy period of time where they take those B samples, and they have to do a lot of validation testing, meaning that you have to drive these built cars around different roads all over the world to collect enough data to make sure they can validate the solution, not just the LIDAR, the solution they're providing meets and exceeds the expectations that has been set forth by them. So from a from a vantage point, yeah, you know, the products will take about three, two and a half years, but a majority of that is the OEMs validation cycle. So, we work very closely to get to that final RTL, final ASIC, final image quality. So when we show things right now, they can see what the final point cloud could be and how stable it is and how much manufacturing has replaced. And that's what the schedules are dictated by, is how much time do they need to develop and it comes down to if every OEM is doing a slightly different variant of a feature, they will have their own timelines go develop their part of the software and their validation planning.
Anubhav Verma: Thanks, Sumit. What is MicroVision's perspective on the current competitive landscape in the LIDAR industry. How do you differentiate your technology solutions and business model from other key players? We see competitors facing financial challenges, which seems to place micro-bids in a strong position. How does the company intend to convert disadvantage into profitability?
Sumit Sharma: Yeah, how do we intend to convert to profitability? What I'm excited about is scaling. A great question that was asked by Casey is, somebody comes to knock in, can you actually get to a certain volume? You know, to start going from where we are to start getting to, like, maybe 40,000 - 50,000 units a year? That's really good scaling. That's only possible because the products have been designed with mass replication as the bottom core. You have to start with the understanding I may have to replicate something our differentiation is when I think about the MOVIA L, future MOVIA S, think about MAVIN. I think about in terms of wafer. You steer the beam from MAVIN. I think about a mems wafer. I don't have to think about prisms. I don't have to think about electrostatic mirrors. You know, there's mems mirror but we do electromagnetic which is much more robust we can actually scale and we've done that. I mean, we ship hundreds of 100s and 1000s units to Sony. We did quite a lot of volume with Microsoft, as you all got enough, so we know we can scale that. And of course, on the other side is the sequential flash product, the MOVIA product that also can be scaled, and it just comes down to the amount of silicon. So for me, that's the number one thing I think about that how would you actually scale it and is there a competitive landscape? Everybody else is out there talking, right? You know, look at their steering. How did they steer the beam? How do they actually get the laser to the points there is, then on the other side is, what wavelength are they using? We use 95 nanometer lasers, [indiscernible] lasers all combined. So again, this is in a space that could be scaled. Other people that are doing 1550 nanometer, huge cost there. They're not very clear about, like, really, how are they going to get to the hundreds of dollars? You know, some $1000 for an automotive OEM and for industrial space, right? Can't charge, you know, 5-6-7-8, $20,000 per sensor. And think about any kind of scaling. There's a niche market there. If you think about those layers, those tranches I'm talking about, imagine the higher up you go, the economy scales have to kick in. So our competitive advantage to everybody is I can scale at price points that are very competitive, actually, and we will enable them faster, whereas others will have to do a lot more sales job as in, like, you know what value they have, because their piece price is so high for an application, and they're going to struggle with it.
Anubhav Verma: And if I can quickly just recap, because I think the strategy is important as well, because to convert this advantage to get the scarcity premium, which will ultimately end up happening for any company that survives or at the last standing LIDAR company will command that premium. The way to get there is diversifying your revenue streams before the automotive volumes take off. And in that process, you have to keep your burn low as well, because I think especially now that we have an institutional investor with us as well. Because I think making sure running a lean shop is very important. Because I think everybody is now going to be looking at LIDAR companies as the time taken to get to cash flow breakeven. And I think the way to think about this is what revenue will support each and every LIDAR company's cash burn until they turn the corner and become cash flow positive. And just assuming 30% gross margin, I think all investors should be looking at almost multiplying the cash burn by three is what is the revenue potential, or the revenue quantum needed for LIDAR companies to be cash flow breakeven, and that's sort of how all the large financial institutions would be looking at this industry. As this industry gets more mature and the time to cash flow break even gets closer and closer. Next question, Can you discuss the types of customizations OEMs typically request for LIDAR solutions? What are the implications of these customizations on MicroVision's development timelines and cost.
Sumit Sharma: Customization, so let's start from the middle up. The real customization starts with the interface. Every vehicle, you think about it, it says got its own language. Every OEM has got its own language. How different things plug in together and talk there's a significant amount of work has to be done in software development to get those interfaces right and get them automotive qualified, and this is all custom for them. So if you think about earlier this year, we're talking about a OEM and there's a lot of customization, and they wanted to pay only a portion the NRE, none of the work that we do is reusable for anybody else. So that's kind of challenging, where you could have $45 million to $55 million worth of software customization. And they only want to pay $8 million for it. And you can't reuse any of the work anywhere anyway, so you have to find a way to amortize that. And then they get it done on the piece price. So that's the big part of it. There's a quite a lot there. A lot of people have to work on that because, you know, you have a beautiful point cloud. You have beautiful perception, but it has to be able to talk directly to their system. And there's quite a lot of safety and security and stack that we have to go through. There's not that much customization on the hardware. Because when we work on anything like for example, for the longest time, I said, you know, well, MicroVision MAVIN product is going to do up to 14.7 million points per points per second. Not every customer wants that. So some of them want, you know, only in a region of interest, much higher resolution. They want lower in the sides, lower up in the upper two quadrants, upper left and upper right, because that's just really pointing in the sky, most often to save power. And that's the configuration the difference that's done in the firmware that allows for them to get it's the same scanning that we're doing, but they get their customized point cloud in there. Again, software customization, but there's very little hardware customization, if any of mounting holes and brackets and connectors, right, perhaps there, but I would say 80% of everything, even maybe 90% of everything, is really in the software side, internal and of course, middleware.
Anubhav Verma: And how much of the competitive advantage pieces of MAVIN revolved around dynamic view. Now, the OEMs have requested the company to make it simpler, and this feature no longer seems to be a game changer. So what is left that keeps making MAVIN superior and outlast any other LIDAR product?
Sumit Sharma: Yeah, listen the dynamic through LIDAR if you actually take a look at it, and if you know what you're looking at, there's nothing out there that can actually fill in the Point Cloud as densely in the different fields of view as possible. So it establishes the very edge of the limitation of physics. You can't fire more pulses. You have multi-pulses to begin with, multi uniquely encoded pulses. That's unique feature to begin with. So here we have all these different high density work that's been done. Ultimately, the OEMs decided that great, but our software can't handle what -- we didn't do love, develop the dynamic view LIDAR, just on your own volition. I mean, we always thought it was the right thing to develop, but we had OEMs that said, you know, they would want to see it, right. So we developed it. They've seen it, but on their side, it's just a massive amount of data, and their team would prefer more fixed pixels. We could do fixed pixels, right? I mean, we were a display company for the longest period of time, and we're very good at fixed pixels. So the latest demos that you may have seen, the videos of that we put up those are fixed pixels, and they look really dense, really well done also. So it actually gets down to what they put in the specs we're also able to achieve. So what sort of differentiation? Well, the differentiation still remains. It's a very high quality point cloud. It is low in profile. It's low power and the cost. I mean, that's actually number one, that it is a predictable cost as they go to scaling. So even as they get in the MAVIN product but as I think about the future, and you know, what they're asking for is a significant amount of performance right to be able to get into the target prices that they have, that's very compelling. So I think the technical people on the call are investors. Like, sometimes, you know, they don't value this, but I would say our capability to maintain cost for our customers, scaling on silicon. It's actually a big differentiator. All right, we can always do the dynamically LIDAR. We demonstrate it to them. We have it if their teams ever needed it for a special application we can be that one stop shop, LIDAR shop that can do it. On the MOVIA side we have our current MOVIA sensor. It's kind of large, you know, it was designed in a different time. It's good for trucking. I think it's good, definitely good for industrial. But pretty soon, you're going to start seeing some marketing work we're going to do of what the future MOVIA S is going to look like and this thing is, I would say a couple of snicker fun size bar next to each other. It's tiny. And you can imagine putting into a car where it's not so obscene, you know, would not be taking big portions of the car, and it could give you a 360 degree cocoon, something that even a corner mounted radar 180 degrees or 207 degrees can't do, all right? And this is going to be a game changer, essentially, because it will be higher volume, and that product as well, has the same principles of how it advances, where we have a certain high resolution product that's been created is differentiated and the perception software is already provided to them that allows them to even the automotive space to incorporate these features faster and at lower cost. So cost may not sound sexy to people, but it's actually probably the most important variable. The technology exists there and I can talk to you about, you know, our technology is better than somebody else, but it's technology at cost is a real metric. If you think about can be delivered at a cost. So if you go buy a car, is it only available in the car that's $100,000 or can you actually incorporate this in a car that's going to be $40,000 someday? So that's one of the differentiation that we control, which is the overall cost of the system. We can help reduce that.
Anubhav Verma: Thanks, Sumit. The next question is the Mobileye CEO during their company's recent earnings call seemed to suggest that imaging radar may eliminate the need for LIDAR in the future, possibly all LIDAR, but most likely, in any case, short range LIDAR, such as MOVIA. How does MicroVision view these comments? And what impact this could, but then this potential shift could have on MAVIN and MOVIA's future?
Sumit Sharma: Yeah, I think he's running a company that's got, like, you know, billions of dollars in market cap. They have done billions of dollars worth of revenue, I respect him. If you ever see a imaging radar, it's pretty large and chunky and the number of channels that they would have in the 1000s, whereas the number of channels we're providing is in the millions. So the overall density of the point cloud and power at the low cost, and the low profile, the small side of the LIDAR, it makes it pretty compelling. I think I do believe it was Mobileye also, I don't know who this was. I think I believe it was the CEO on the last call saying time of flight LIDARS. I mean, they got out of the LIDAR business, right? The time flight LIDARs are at a point and a cost point that really is very, very compelling and competitive, right? So clearly, where we are imaging radar, the only thing they provide is velocity. Well, there's plenty of radar that may not have this massive pipeline of points compared to a radar, but it's nowhere near its orders of magnitude, less than what a LIDAR is already providing. Velocity could be done. And again, you can fuse radar and LIDAR, align these clusters and assign the velocity that a radar sees to a high density cluster from a LIDAR. And some of those radars can be as cheap as $40 - $60 right? So they are on the cheaper side of it. So we get velocity that can be done at a very low cost, compelling manner and quite a lot of radars are sold. But if you really want to do safety and you want to do these kind of high speed hydro [ph]-pilot applications or low velocity urban applications, you're going to need a measurement device that's small and cheap, incorporated in the car, that is affordable, and it's giving you a direct measurement on millions of points in the field of view. So I respectfully believe that LIDAR, I mean, very, very competitive for the solution that is needed. And it is unclear if imaging radar is going to have the inroads that they want for the features, if it was the same features side by side, I don't believe that imaging radar can do it without a lot of help.
Anubhav Verma: Thanks. Amit, we do have more questions, but I guess we're coming up on the top of the hour. So maybe I'll take one more question. What steps is MicroVision taking to attract more analyst coverage and increase visibility amongst institutional investors. So let me take that question so. So I think this convertible financing is actually, I believe, is a very transformative step in MicroVision's Evolution, because what we have done it successfully. As part of this process, like I mentioned, attracted several financial institutions which submitted their term sheets, and we ended up selecting the partner based on their track record. And what I think this does is this has actually improved our visibility quite a bit, because obviously now we are on the radar of -- because of this strong credit profile, we're on the radar of almost all fixed income investors. Given when one investor comes in on board, you can imagine all the other peers start tracking companies, their portfolio companies, and their investee companies, to track their return and performance. And I think that's sort of what I believe has been a very interesting observation, which, I think, which came out as part of the process as well. What I described is as this LIDAR industry gets -- becomes more mature and the crowd is thinning, the focus on running a very steady business with a clear sight to achieve cash flow breakeven, and not just promises and big revenue numbers being thrown around is going to be the key. So execution is going to be the key no matter what. And I think what I described earlier as a company which would be able to come out successfully and will command that premium, that scarcity premium, and all others have sort of whirled out, is going to be the revenue mix and the diversification of revenue of the portfolio, which in turn, even bolsters confidence among the new and existing customers. As you have multiple streams as a business, as you have multiple streams of revenue supporting your cash flow and your path to profitability. So I think all these are, we have already established quite a lot of success in improving our visibility amongst the financial community. And this transaction is just a highlight of that that such a reputed institution was able to partner with us on as a single investor, I think what investors should also appreciate as a single investor, putting in this quantum of capital to work is again a sign of confidence and a vote of trust in the company's future and the sector.
Anubhav Verma: With this what I do promise is for next quarter, we would be including some of these questions as well. And again, we thank you for your time, and we look forward to speak with you next year as part of our Q4 earnings call. Thank you, everybody.
Operator: Thank you. This concludes today's conference. All parties may disconnect and have a great day.